Operator: Good day, ladies and gentlemen. And welcome to the second quarter 2010 Perficient earnings conference call. My name is Michelle, and I will be your operator for today. At this time, all participants are in listen-only mode. We will be conducting a question-and-answer session towards the end of today conference. (Operator Instructions) As a reminder, this conference is being recorded for replay purposes. I will now turn the presentation over to your host for today’s call, to Mr. Jeff Davis, CEO and President. Please proceed, sir.
Jeff Davis: Thank you. This is Jeff Davis and with me on the phone this morning is Paul Martin, our CFO. I want to thank all of you for your time this morning and we get about as typical about 10, 15 minutes of prepared comments, after which we’ll open the call for question, of course. Before we begin, I’d like to ask Paul to read the Safe Harbor statement? Paul?
Paul Martin: Thanks, Jeff and good morning, everyone. Some of the things we will discuss in today's call concerning future company performance will be forward-looking statements within the meaning of the securities laws. Actual results may materially differ from those discussed in these forward-looking statements and we encourage you to refer to the additional information contained in our SEC filings concerning factors that could cause those results to be different than contemplated in today's discussion. In addition, our earnings press release including a reconciliation of certain non-GAAP financial measures to the most directly comparable financial measures prepared in accordance with Generally Accepted Accounting Principles, or GAAP, is posted on our website at www.perficient.com under News and Events. We have also posted a reconciliation of certain non-GAAP goals to the most directly comparable financial measures prepared in accordance with GAAP on our website at www.perficient.com under Investor Relations. Jeff?
Jeff Davis: Thanks, Paul. And again, thanks everyone for joining. We’re very glad to be with you today. We’ve got some excellent results to report. You know, Perficient built on our first question of 2010 success with really outstanding second quarter. We realized our third quarter of consecutive sequential revenue growth up 6.7% over the first quarter of this year. And that actually reflects year-over-year revenue growth of 11.4%, that’s a phase we haven’t seen here since the fourth quarter of 2007. Revenues and earnings came in about estimates in addition to the very strong services revenue, which we’re pleased with obviously, we also realized a solid quarter software sales which can be a pretty decent leading indicator of future services. We spoke on last quarters call about the impressive Q1 sales for year, we had set a record for Q1 sales bookings in the first quarter. And while Q2 normalize a bit as we expect in – I mentioned in the first quarter call that we thought that would happened still our first half 2010 sales performance overall, bookings was very strong with services sales revenue or bookings running nearly 40% higher than the year ago period. I think its worth mentioning also that in the second quarter alone, like I said even though normalize a bit as we thought it would after insurgence in the first quarter we were still 25% up year-over-year in the second quarter sales over Q2 2009. Key metrics also improved sequentially, average bill rate was up from $99 to $102 excluding subcontractors that number actually improved from a 105 to 107 and if you exclude offshore resources which is a growing part of our business we’re excited about, it does effects rates however, our rates actually increased from 116 to 120, excluding those resources. So we continue to stress with our sales team, the important and improving rates and we’re actually pleased that we are finding the ability to do that in this market, we talked about not loosing deals based on rates or pricing, a couple of years back had debt due to recession and now we’re actually able to recover some of that rate depression that we allow to occur during that timeframe, obviously we think that’s another anecdotal sign of an improving environment for the domain perspective. Employee utilization excluding subcontractors was always up, 85% up 2% sequentially from the first quarter and up more than 10% year-over-year. We increase our use subcontractors during the quarter, in this high growth period but at the same time we are adding a number of employees in several areas of the business. We closed 10 deals from a sales perspective over a $0.5 million that’s a key metric we often talk about in this call, that consistent with the results from the second quarter of 2009 in terms of number of deals over a $0.5 million, but the average size of those deals was up 20% this year, over about $1 million last year, the year ago quarter up to 1.2 million this year, so that is to say that, 10 deals closed in the quarter over a $0.5 million and the average size of those is 1.2 million compared to $1 million a year ago, so again, about a 20% increase there consistent with and supporting that 25% year-over-year increase sales for the quarter that I mentioned earlier. And we also closed considerably more deals obviously below that to support that overall 25% increase. Obviously the balance sheet remained strong as well. The company has no debt and more than 30 million in cash and liquid investments, that’s flat with the end of the first quarter after using 5 million for share repurchases during the quarter. We also had about 4 to 500,000 of deal cost associate with the Kerdock acquisition in the first quarter. So again after using cash for all those purposes we are still flat at 30 million as with the end of the first quarter. As you may have seen in the press release this morning the board recently authorized the expansion of our repurchase program by the way, by another 10 million, bringing the total authorization since the inception of program to 50 million. So again, given our results and outlook we are very happy to be repurchasing stock at the levels and it’s my expectation and plans to continue that program for the foreseeable future as long as we see the stock depressed at these levels. The balance sheet strength also allowed us to continue our internal growth investment we’ve talked about the verticals and other things that we’ve invested into build out and I’ll talk a little bit about some of the fact [ph] that we’re seeing particularly in healthcare and telecom. But there – we are going to be able to continue the repurchase program as I mentioned and aggressively still pursue RMA programs at the same time. You know, on that front it’s still my goal by the way to complete anther deal by fall and another one by the year-end. So we talked about two to three deals this year. We still expect to be able to get that done. Finally, a quick comment on Q3 guidance and I’ll provide obviously full details little later in the call, but after realizing double-digit annual growth in Q2 we’re pleased to be able to provide a Q3 guidance range with the midpoint that represents 20% annual growth, it’s been a while, obviously, since we’re been able to post and project double-digit annual growth. So we’re feeling quite good as you can tell about the current performance in many of our business. We are excited about that, again I’ll come back on that later to provide little more color. But first I’m going to turn the call over to Paul, our CFO to discuss the quarterly financial details. Paul?
Paul Martin: Thanks, Jeff. Total revenues for the second quarter of 2010 were 55.5 million, a 23% increase over the year ago quarter. Services revenue for the second quarter of 2010 excluding reimbursable expenses increase 18% to 47.9 million over the comparable prior year period. Sequential services organic revenue growth was 6.7% this is the third consecutive quarter of sequential revenue growth after five consecutive of quarters to revenue contraction. Service gross margin for the second quarter 2010, excluding stock compensation and reimbursable expenses was 35.2% which is up 5.2 margin points from 30% in the second quarter of 2009. Our improved utilization and higher domestic average ability rates, as Jeff describe help to drive this improvement. SG&A expenses increased to 12.4 million in the second quarter of 2010 from 10.1 million in the comparable prior year quarter. Excluding non-cash stock compensation, SG&A expense was 10.4 million compare to 8.4 million in the second quarter of 2009. The increase in SG&A was primarily driven by higher bonus and sales related cost. SG&A excluding stock compensation as a percentage of revenue was 18.7% in the second quarter of 2010 compare to 18.8% in the second quarter of 2009. SG&A excluding the impact of changes in bonus cost decreased from 18.5% of revenues to 16.4% of revenues in the second quarter of 2010. EBITDA to find it’s earnings before interest taxes depreciation amortization and stock compensation expense for the second quarter 2010 was 7.1 million, or 12.8% revenues compare to 4 million, or 8.9% of revenues for the second quarter of 2009. We report a net income of 2.1 million for the second quarter of 2010 compare to a modest loss of 2000 in the comparable prior year period. Diluted GAAP earnings per share increases $0.07 a share for the second quarter of 2010 from a loss of $0.01 per share for the second quarter of 2009. Non-GAAP earnings per share increase to $0.15 for the second quarter of 2010 from $0.08 for the second quarter 2009 and increase sequentially from $0.12 earned in the first quarter of 2010. Non-GAAP earnings per share is define as GAAP earnings per share, plus amortization expense non-GAAP stock compensation and transaction related matters, net of related taxes divided every four diluted shares outstanding for the period. Our effective tax rate for the second quarter of 2010 was 37.9% compare to a 186% for the second quarter 2009. As we talked about last year the second quarter 2009 was impacted by the effect of projected sales tax and permanent items over a smaller projected income base and a smaller benefit from certain non-taxable foreign income. Our average global headcount for the second quarter of 2010 was 1066, which is composed of 883 variable consultant and 183 subcontractors. Total average SG&A headcount for the second quarter of 2010 was a 170. We will continue to adjust our cost structure based on changes in customer demand. Turning to the six month results, revenue for the six months ended June 30, 2010 was a 104.4 million and 8% increase over the comparable prior year period. Year-to-date services revenue for the six months ended June 30, 2010 excluding reimbursable expenses or 90.6 million and increase of 6% over the comparable prior year period. Organic services revenue growth was 11.3% on a trailing four quarters average annualized basis. Services gross margin for the six months ended June 30, 2010 excluding stock comp reimbursable expenses increased to 33.7% from 30.2% in the comparable prior year period. Again, improved utilization and higher domestic billing rate, help to drive the year-to-date improvement. SG&A expense for the six months ended June, 30 2010 was 22.8 million compare to 20.7 million the comparable prior year period. Excluding non-cash stock compensation, SG&A expense was 18.9 million compare to 17.2 million in the comparable prior year period. The increase in SG&A was primarily driven by higher bonus sales related cost and recruiting expense. SG&A excluding stock compensation as a percentage of revenue was 18.1% for the six months ended June 30, 2010 compare to 17.8% for the six months ended June 30, 2009. EBITDA for the six months ended June 30, 2010 was 12.6 million or 12.1% of revenues compare to 9.3 million or 9.7% of revenues for the comparable prior year period. Net income for the six months ended June 30, 2009 was 2.9 million compare to 700,000 with the six months ended June 30, 2009. Diluted GAAP earnings per share increase to $0.10 a share from $0.03 a share for the six months ended June 30, 2009. Non-GAAP earnings per share for the six months ended June 30, 2010 was $0.26 a share up 44% from the $0.18 delivered in the comparable 2009 period. Our effective tax rate for the six month ended June 30, 2010 was 40.2% compare to 58.8% with the comparable prior year period. The decrease in the effective rate is to primarily to the effect of projected taxes in permanent items over our large projected income base and a larger benefit from certain non-taxable foreign income. During the second quarter of 2010, we spend 4.9 million on repurchasing 480,000 shares, as of June 30, 2010 we had spend 33.5 million on repurchasing 5.1 million in shares, since this plan inception in 2008. We continue to believe that our share repurchases will drive future accretion and shareholder value. We also continue to generate strong operating cash flow, we had operating cash flow for the six months ended June 30, 2010 of 9.7 million compare to 15.1 million for the six months ended June 30, 2009. The decrease in operating cash flow is primarily a result of an increase in accounts receivable associated with funding our growth. We ended the quarter with no debt and 30.3 million in cash, cash equivalents in investment compare to 28 million at December 31, 2009. Our Day Sales Outstanding, our DSO’s on account receivable were 70 days at the end of the second quarter, this compares to 72 days at the end of the second quarter of 2009 and 73 days at the end of 2009. As we’ve previously stated our goal is to maintain DSOs below or between 70 and 75 days overtime, maintaining DSO’s within the 70, 75 day range will be a key ongoing initiative and we will continue to pursue. I’ll now turn the call back over to Jeff Davis for little commentary behind the metrics. Jeff.
Jeff Davis: Thanks Paul. As I mentioned before, just few more comments here, before we open the call up for Q&A. But again a really solid first half of the year. And during the quarter, but the way from a diversity standpoint our top five customer’s again combined, they represent only 25% of our revenue. Healthcare was our largest industry a 20% of revenues and by the way that’s from the revenue perspective, from a sales perspective it’s actually closer to 25% and I expect they will continue to see healthcare kind of, pulling away. But telecom was close second 19% also performing well for us. From a solutions perspective portals, business integration and CRM are strongest disciplines. Enterprise performance management which is something we added to our portfolio, the Kerdock acquisition is also delivering very, very strong performance, we continue to see very strong demand in that pace, we’re happy to have them on board. And we continue to receive partner industry recognition during the quarter, obviously that isn’t necessarily generate revenue but it helps to generate revenue, obviously the reference ability there. And I think it also validates the fine work that our folks do. And we won a high-profile business partner award from IDM. We were also recognized by leading healthcare trade publication by our healthcare consulting expertise and revenues. And even though, it wasn’t technically a second quarter achievement, we also recently named by Microsoft as its healthcare provider partner of the year, obviously, it’s a pretty impressive recognition. When you’ve taken account of that, they get 1000 of business partners out there. So we’re pleased to receive those and again, I think it’s a validation of the work that our folks are doing out there. Looking at the rest of the year and beyond, we’re obviously now actively assembling the pieces of the puzzle that we need to scale our organization to that $500 million revenue run rate goal. Another exciting factor about the growth is that its proficient scale is in the quarters and years ahead. I think you’ve already seen in the results so far this year but there is more that has to come, I believe. There is lot of operating leverage in the business that we’ve talked about before. We’re going to benefit more and more from that as we march towards our $500 million goal. We should be growing profitability substantially along the way. So to summarize Q2 was an excellent quarter, represented our third quarter of sequential revenue growth. We’ve posted strong sequential organic growth and year-over-year growth is now back to double-digits. M&A diligence and activity is well under way. Our long-term plan about the $500 million company is reaffirmed and on track. Obviously, it remains to be seen how choppy the recovery might be as we go forward but we’re fully confident now that is a solid thing underway. There might be some business starts economic dependence there but we’re satisfied that we’re moving up. So lastly, our third quarter guidance. The company expects third quarter 2010 services in software revenue including reimbursed expenses to be in the range of $50.9 million to $54.4 million comprised of $48.4 million to $50.9 million of revenue from services including reimbursed expenses and $2.5 million to $3.5 million of revenue from software sales. As I mentioned, the midpoint of this third quarter guidance represents 20% year-over-year growth. So with that, I’ll open the call up for questions. Michelle.
Operator: (Operator Instructions) Your first question comes from Jon Maietta from Needham & Company. Please proceed.
Jon Maietta – Needham & Company: Thank you. Jeff, I was wondering if you can talk a little bit about sales activity, bookings activity on the product side and what you’re seeing out of that acquisition?
Jeff Davis: Yeah. It’s quite strong. I can’t give you specifics simply because I don’t have them. But I can tell you that we’re hiring as fast as we can in our units. So tremendous strengthened acquisition as you know, Iperien [ph] I think that sort of slow down after joining Oracle, much like Cibo-bip [ph] but now it’s really on fire and we’re really pleased with that acquisition or result there.
Paul Martin: And Jon, we had 93% utilization in that business unit in Q2 and actively hiring because the demand is stronger.
Jon Maietta – Needham & Company: Yeah. Well. Okay. And then Jeff, may be just commentary around bookings activity sort of quarter to date in sort of in line with how you exited June or any change?
Jeff Davis: Actually, we’ve seen some pick up. So a little bit up of a pickup in July off of May and June and I expect to continue to see that throughout the quarter. It’s a similar cycle, I think, to what we saw last year where I think it did kind of slowdown a little bit, really in the, kind of, May, June, July timeframe. And it looks like those are going to be kind of the trough much like last year. I think it’s a cycle that we’re in now based on why people are budgeting in this economy but we’re seeing some pick up now in the pipeline.
Jon Maietta – Needham & Company: Okay. And then follow-up around SG&A, you talked about the bonuses and things like that. So that was a little bit higher than what I was looking for. On an absolute basis, should that line item be flattish, would that come down a little bit on an absolute basis sequentially or how should I think about that?
Paul Martin: Yes. So certainly part of that is we had a very strong quarter and kind of rough numbers probably a third of the annual bonus is in the second quarter. So you’ll see almost regardless a sequential decline in the bonus accrual. And I think holding those other costs relatively constant. There is mild-to-moderate increase in the sales cost but not much along those cost effects.
Jon Maietta – Needham & Company: Got it. Okay. Okay, that’s helpful. Thanks very much.
Jeff Davis: Yeah. One of the things, Jon, is that, that would exclude any acquisition cost we have those – we’ll underline those when we have those.
Jon Maietta – Needham & Company: Got it. Thanks.
Jeff Davis: Thank you.
Operator: The next question comes from the line of Louis Miscioscia of Collins Stewart. Please proceed.
Louis Miscioscia – Collins Stewart: Okay. Thank you. With revenue guidance is obviously in line with what the analysts were expecting but just trying to understand the drop quarter-to-quarter and may be just give us also some comments on competition.
Jeff Davis: Sure. I think, we’re expecting about flat is roughly what the midpoint is quarter-to-quarter and I attribute that really to the surge that we had in the first half. So we’re maintaining a run rate. As I mentioned before, they’re substantially up year-over-year. And I think it could be absorbed upside into that as well but realizing that I would translate that as or attribute that to like I said was the robust growth that we had, frankly more than we expected in the second quarter. So that’s what we’re saying. From a competition standpoint, we’re fairing very well. I think I had mentioned this before. The competitors that we’ve seen most often tend to be the larger firms naturally operating on a national basis where we compete and our win rate against those firms is 60% to 65%. I’m talking about firms like Accenture, Deloitte, Cognizant, Infosys. So we’re quite pleased with our results there. We’ve seen some competition go by the way side over the last couple of years but those tend to be the smaller sort of local firms that some of – which are actually unfortunately going completely out of business or struggling to compete now.
Louis Miscioscia – Collins Stewart: Okay. Great and just may be to expand out. I know you had said that things picked up in July. So it sounds like bookings are getting back on track and I guess, you expected, just looking forward, sequentially and may be month by month into the end of the year. I think it will be strong for the next three months and that may be tail off a bit until the end of the year or how…
Jeff Davis: You know, the cycle that we saw last year was actually good strength in this quarter and tail off a little bit towards the end of the year, literally as people kind of going in a holiday but we saw a pretty strong second half that begin to pick up about this time of the year last year. Right now, I’m sort of anticipating the same thing. It’s hard to know of course what other people said in terms of budgeting plans, exactly, obviously anecdotal we were talking to clients and we’re getting introduced into new accounts daily. That wasn’t happening too much a year or two years ago. So we’re having a lot of new customers in new business and that’s encouraging to me that people are still spending money out there. And they’re going to see a continued sort of healthy sales cycle as healthy sales resolved in the – through the end of the year.
Louis Miscioscia – Collins Stewart: Okay. Great. And then final question, just on hiring, how tough is it to find a good folks out there as lot of others in the sector are also trying to hire.
Jeff Davis: Yeah. I think, it’s always tough to find good people. We had good results on hiring, probably, got a good recruiting team that does an excellent job. We’re going to be expanding. Our recruiting capacity, actually as we are in the cycle of growth. So we are actually hiring recruiters. We’ve already got I believe six full-time on-staff is down from a peak of six or seven actually. I think it’s down from a peak of maybe 10 or 12 and we are going to be adding back to that team. We’re successfully recruiting people. I think Perficient is an employer of choice for technology folks. I think we are better employer than some of the offshore guys trying to hire domestically, more attractive and I also think we are better than some of the big guys, here like Accenture or some of the big four accounting folks that are getting back into consulting. We really value technology and technologist that brings to the table as well as the business consultants here to the other, our domestic guys are going to be a little more slender towards the business side.
Louis Miscioscia – Collins Stewart: Okay. Great. Thanks, Jeff. Good luck for the rest of the year.
Jeff Davis: Thanks a lot.
Operator: (Operator Instructions). Your next is from the line of Matt McCormack from BGB Securities. Please proceed.
Matt McCormack – BGB Securities: Yeah. Hi. Good morning.
Jeff Davis: Good morning.
Matt McCormack – BGB Securities: My question is related to pricing. Obviously, you have some pretty good pricing leverage in the quarter. And I guess just – how do you balance pricing? Do you still think you’ve got room to increase it and how do you balance that with your win-rate?
Jeff Davis: That’s a good question. We are not seeing yet – there’s always some pricing competition right. A good buyer can get any sort of a transaction down to that. We tend to be a value seller already, so I think there’s room there between us and some these of the guys, right now without affecting our run rates and I expect it will move our rates back up. The pre recession our rates, domestic employees were about $1.25 an hour about 25 and hour or 125 an hour. And so I expect we will be able to get that without a problem and actually we were expanding back time as well. So, I think if the demand continues to recover and get healthier, we’ll be able to move our rates upward as well and I expect 125 and beyond, domestically, is what I think we can do over the next year two or three years or even really year or two as long as the demand side is healthy.
Matt McCormack – BGB Securities: And when you were at 125, do you have the similar 60-65% run-rate?
Jeff Davis: Yes.
Paul Martin: Yeah.
Jeff Davis: I think our run-rate – honestly, is less driven around pricing per hour. It can be sometimes pricing in the deal. But quite honestly, some of those firms that I mentioned come into these competitions with a lot more hours in their bid than we do. Because, frankly, I don’t think they have all the skills that we have and the depth that we have. So when it does come in a pricing depth, often the contributor of the pricing dealt but a lot of tome it doesn’t come down to pricing. It really comes down to how we show in the competition.
Matt McCormack – BGB Securities: Okay. And then in terms of the bookings figure, can you just go into a little more detail about which specific verticals that our company’s that you’re seeing the strongest demand from?
Paul Martin: Certainly, healthcare. But we are also seeing good pickup in consumer products. That’s another vertical that we focused on primarily around the CRM part of our business, but certainly a good recovery there and some nice spin there but healthcare is really the big story. We are seeing though – we though we would – in fact on the same call as maybe a few months ago that financial services are picking up quite nicely as well. It moved into double-digits again from a sales booking standpoint. We had – we were down by mid single digit maybe 5% of our bookings and I think it moved over 10%. In this quarter it was about 11%. So we are definitely seeing a pickup there in healthcare, good stability, in energy and telecom and like I said a pick up in consumer products as well.
Matt McCormack – BGB Securities: Okay. And then I guess lastly, you talked about executing on your acquisitions strategy. What that – you mentioned, I guess the telecommunications and healthcare verticals. Is that kind of where we should expect to see – you making deals in the future?
Jeff Davis: We’ve looked into verticals deal and we might do that. Those seem to be kind of hard to find, honestly. So we will probably focus on – not so much geographic footprint expansion as much as continue to add to our technology portfolio if you will. So we have to find firms that are in these verticals and certainly have those, sort of top of our list. But other things that are on our list as well are – in the IBM spaces and example from a technology from a standpoint, our IBM business is growing dramatically and it was actually growing while the rest of business was still contracting in kind of 2009 timeframe. So we’ve got some IBM technology on our list as well. And obviously, we would leverage – the way our verticals have set up is to leverage all the technologies that we have. So we’ve got domain experts in that position and pulling on and driving demand into our national business units which deliver the technology pieces.
Matt McCormack – BGB Securities: Okay. And then last question, we are starting to see growth accelerate. So in terms of the headcount – how has the pyramid I guess been towards the downturn meaning, did you keep it somewhat top heavy for now as you are trying to accelerate growth? You really only have to get kind of entry level employees, so it would be and if you got a lot more leverage I guess as you are going forward. Does that kind of how to look at it or do you really have to, to go out and hire along the stack right now?
Jeff Davis: That’s exactly right. And we were doing a little bit of hiring on the stack, but it’s along the effect but it’s leveraged hiring to your point, so. Most of the hiring that we are doing is rebuilding the pyramid that we kind of cut the base away from it and where we are hiring at the higher end of that, we are also filling out the bottoms for those areas as well, so. It’s an excellent question. It is where a lot of that operating leverage is going to come from that I refer to earlier. Right now, I think the hiring we’ve done year-to-date, is been on average about 7-8% lower cost resources in our existing staff on average. So yes, we are building up on the pyramid and we are hiring in lower cost, less experienced persons.
Matt McCormack – BGB Securities: Okay. Great. Thank you so much.
Jeff Davis: Thank you.
Operator: If there are no further questions, I would now like to turn the call back over to Jeff Davis for closing remarks.
Jeff Davis: All right. Well, thank you all again for your time today. Obviously, we are excited about the results we’ve experienced here in the first half of the year and excited about the outlook. I appreciate your time and interest and we will talk again in a quarter. Thank you.